Operator: Welcome to Solvay Q3 2022 Results Call for Analysts and Investors. Solvay team the floor is yours.
Jodi Allen: Good afternoon, ladies and gentlemen and welcome to our third quarter 2022 earnings call. This is Jodi Allen, Head of Investor Relations and I'm joined today by our CEO, Ilham Kadri; and our CFO, Karim Hajjar. To start, we want to apologize for the delayed start today, as we were busy managing some technical issues that seem to be behind us. Today's call is being recorded and will be made available for replay on the Investor Relations section of our website. I would like to remind all participants that the presentation includes forward-looking statements, which are subject to risks and uncertainties. You may refer to the slides related to today's broadcast, which are available on our website. With that, I'll turn the call over to Ilham.
Ilham Kadri: Thank you very much, Jodi, and hello everyone. I'll begin my remarks as always with a health and safety overview. Compared to the third quarter of 2021, the reportable injury and illness rates are down across the group and COVID cases continue to decline so the situation is truly under control. As usual, we continue working hard to raise the bars towards a zero incident goal. Moving on now to our results. I'm very, very proud beyond proud actually of the results we achieved this quarter and this entire year-to-date setting new records in so many areas. You've heard me talk about the quality of our team and the strong performance. It's a testament to their efforts and hard work. And it's not just the results this quarter that I'm proud of, it's a journey that we have all been on together over the past 3.5 years. I'm truly humbled and when I look at what has been accomplished since I joined the company. And one thing is very clear, Solvay today is not the same company, it was back in the beginning of 2019. Thanks to the hard work of our talented teams, we have undergone a complete transformation. And today, we are a stronger company and we are better positioned for future growth. We've grown EBITDA over 30% year-to-date versus 2021 and this excludes any impact from currency. When I look back further and factoring in our upgraded 2022 guidance, we are on track to grow EBITDA by 11% since 2019 despite the 2020 pandemic. We improved operational efficiency by demonstrating cost discipline through challenging times, which included the delayering of the organization. Our total cost savings since 2019 has reached €450 million and we will deliver our targeted €500 million in structural cost reductions ahead of our 2024 commitments. We strengthened our customer partnership and frontline organizations. You can now see the value proposition we create for our customers is real and we have the innovations and margins to back it. And we have demonstrated an improved steadier free cash flow generation that is enabling us to take big bets and invest for our future. This is in fact the 14th consecutive quarter of positive cash generation. Another metric I'm truly and particularly proud of is our returns. We reached an all-time record high ROCE return on capital employed at 15.4%, almost double the level of 8.2% at the end of 2018. This is truly a remarkable progress. We've done this by raising the bar operationally, optimizing our industrial footprint, upgrading the quality of our portfolio of businesses, pruning those businesses that couldn't be improved further prioritizing and focusing on higher-end specialties growth as we deliver the value propositions our products and solutions bring to our customers. And obviously we will continue to prune our portfolio. In fact, we didn't stop at operational performance. You can also see the results of our actions to improve the balance sheet, while funding our pension. You may not realize it but our debt and pensions were reduced by €3.4 billion or 40% since 2019 and the pension cash out is down over 60% from €216 million in 2019 to around €85 million this year. In fact, we currently have the lowest ever leverage in the history of the company now at 1.2 times versus start of 2019, which was 2.1 times. And with this, you can [indiscernible] is pleased with these accomplishments. So coming back to Q3 specifically. Our businesses continue to perform strongly against the backdrop of significant inflationary pressures. Sales grew almost 30% to €3.6 billion in quarter three and this was led by pricing, while the demand momentum continued in several key markets where we also saw some volume growth in addition to pricing. These markets included automotive driven by electrification and continued penetration of our Specialty Polymers. Aerospace, driven by higher single-aisle aircraft rates, thanks to the continuing recovery. Agro, sector driven by demand from more sustainable chemistries used in crop protection. Mining, driven by high production rates especially in copper. And of course, in Oil and Gas Volumes were also higher given the current robust demand. In essence, our best-in-class portfolio enabled us to capture this growth and in fact grow our sales above market growth rates in each of these areas. From a geographic view, we reported double-digit sales growth in all regions. I would like to highlight Europe's growth at 42% followed by Asia Pacific region growth at 30%. Q3 EBITDA was up about 40% on a comparable scope and foreign exchange basis with all three segments contributing to earnings growth, thanks to value pricing and resilient volume. This translated to an EBITDA margin in quarter three of 25.4% in fact two percentage points higher than quarter three last year reflecting the improved operating leverage. Free cash flow was €452 million in the third quarter, the 14th consecutive quarter of positive cash generation. Now speaking of CapEx, we have many investments underway to support our growth. These investments are in technologies and processes that we know and we master across our business segments. Remember, earlier this year we shared our plans to invest in a fully-integrated suspension PVDF operation in Tavaux in France, making it the largest PVDF production site in the European region to support the growth in EV battery markets. Our strategy is to build regional capacities in the high-end product for high-end markets, in France to support customers in the European region and in the US for customers in North America. Why? Because customers prefer a local source to supply their needs and the authorities provide substantial incentives in order to localize strategic supply chains such as electrification. Our strategy has been to fully integrate our suspension PVDF production, with security of supply of raw materials, which are critical, while being cost competitive and align with best-in-class leading partners to derisk our investment. So, today, I'm extremely excited to announce the next steps of our global strategy, which is to expand these critical materials that support the electrification trend into North America. This time we are pleased to be working with a great partner Orbia who is the leader in their field. Orbia brings the key raw materials necessary including, fluorspar which enables Solvay's production of PVDF. I must say firsthand, that this is, in many ways, an ideal partnership with two strong complementary leaders coming together to create a locally-produced vertically-integrated competitive supply chain, which will enable production of suspension-grade PVDF to serve some of the leading battery makers in North America. You may have heard the big news last week from the Biden administration which awarded Solvay with $178 million of government funding. These elements of supply security and financial support further derisk these sizable projects, which, by the way, has extremely compelling returns and is expected to be commercial by 2026. And we are not only making investments with the future SpecialtyCo side of our portfolio, but we also have a number of opportunities in EssentialCo. In addition to our battery focus and to further support the green energy transition, we've also made an announcement in September related to our ambition to create a powerful rare earth hub in Europe starting in La Rochelle, France by entering the magnet value chain. Then in October, we took another step to advance our rare earth specialties by taking full ownership of our stake in Japan, further leveraging our global plans in rare earth chemistry. As you know, rare earth metals are essential to ensure the green energy transition and support development of more sustainable solutions for electric mobility and clean energy generation. In July, we announced our plans to expand electronic-grade H2O2 production in the US to meet the increasingly stringent specification of the semiconductor industry and we have more peroxide opportunity underway which we will share in due time. And in soda ash, as you know, we expanded natural soda ash in the US by acquiring the minority position of our Green River, Wyoming operations announced in May. But the markets will also need additional capacities, as it will remain very tight at least for the five years to come with fast-growing demand in lithium carbonate and photovoltaic panels, as well as in bicarbonate flue gas treatment and pharma applications on the top of building and construction. Our improved cash generation and our strong balance sheet has enabled us to make all of these investments, each with attractive returns and in attractive markets, where we have leading technologies that offer significant value to our customers. We know that we are facing challenging times, but we have the strategic focus and the financial resources, not just to navigate these times confidently, but to emerge again and again with strong growth at the right time. Finally, our teams continue their journey of bringing new technology and process innovations to the market. In September, as you may have heard, we announced that we are reinventing our own 160-year-old soda ash process. This major milestone will enable three improvements, almost revolutionary ones. The process will lead to 50% less CO2 emissions and this is aligned and will enable our carbon neutrality for soda ash obviously One Planet climate ambition. It will reduce water and brine consumption and last but not the least, will eliminate limestone residue to the sea. We're also continuing to evolve our sustainability ambitions in soda ash and have recently established partnership to create a circular economy for soda ash production in Rosignano Italy that will support our lower carbon footprint ambition. We also have an exciting new innovation to share based on sodium bicarbonate called Alve-One, which was awarded the 2022 Pierre Potier Prize. It offers a sustainable alternative to the incumbent hazardous chemical blowing agents used for thermoplastic foams with 10 times lower CO2 equivalent emissions. In fact our innovation has been accredited as a safe substitute for ADCA, this is Azodicarbonamide, which has been classified by REACH as a substance of very high concern. Finally, I'm so pleased to share that our Actizone F5. You may remember, we launched it during COVID-19, Solvay's innovative 24-hour antimicrobial sanitizing technology that we launched back in September 2020 in Europe is now fully approved by the EPA in the United States of America. Now Karim will take us through the group segments and the financial performance in more detail. Karim, the floor is yours. 
Karim Hajjar: Thank you, Ilham. Good morning and good afternoon, of course, everybody. I'm going to go directly to our business review. And as usual, I'm going to refer to figures on an organic basis. Meaning at constant scope, constant currency, unless of course I indicate otherwise. Sales in the Materials segment increased 37% driven by strong demand for Specialty Polymers and for Composite Materials and it led to record third quarter sales and earnings. Turning to Specialty Polymers, sales reached new records that were up 40%, compared with the third quarter of 2021. They were up 5%, against a very strong quarter second quarter of this year with both pricing and volumes contributing to that growth. We saw continued strong demand in markets such as Automotive including EV batteries Electronics including smart devices as well as Healthcare applications such as hemodialysis and pharmaceutical packaging. Our sales in Automotive outgrew the market due to our leading positions in strongly-growing electrification and lightweighting applications. I know that this is not new news, but the momentum continues. You may recall in fact last quarter I highlighted our new PVDF capacities that came online in China, thereby doubling our production capacities to meet the growing demand in electric and hybrid vehicles. Ilham today just now mentioned our investment in North America, which is designed and will capture a significantly leading piece of the growing market there. This decision not only positions us to capture strong growth through the years to come, but it will also generate very attractive returns, way beyond the minimum thresholds we set. Our efforts over the years are paying off and it is evident that we have the right innovation and the differentiated portfolio, to best meet the needs of our customers in this very attractive growth market. The most recent market forecast for 2022 from LMC indicates growth of around 7%, in light-duty vehicle production globally and beyond the auto market its worth noting that, Specialty Polymers delivered growth in the Electronic market, as customers continue to invest in semiconductor production and an expanding 5G infrastructures. Growth in Healthcare was also strong in areas such as biomaterials, medical devices and pharma packaging. Sales in Composite Materials grew 27% year-on-year particularly strong sales growth to the Civil Aerospace market. Now, that was largely driven by production increases in single-aisle programs, including the Boeing 737 MAX and the Airbus A320. Also there was some recovery which is really good to see in the Boeing 777 cargo and the respective engine part programs as well as a very strong rebound in the Business Jet segments which makes for a very healthy Civil Aerospace profile in Q3, whereas sales to the Space and the Defense were flat year-on-year. Supply chain issues, slower production rate at some key customers, sales of composite materials to the high-performance automotive market grew by double-digits, as our innovative materials contribute critically to lightweighting and design flexibility. In addition to the aforementioned market tailwinds, customers gave substantial attention to our ability to deliver products, despite inflationary cost raw material availability -- that's a tongue twister and despite logistic constraints which are facing the industry. They've really seen us work to overcome these challenges. And frankly it was great for me to meet the Materials team last week on their way back from a very successful case there in Germany which had just wrapped up. The team, are energized. They were energized to see their customers', partners face-to-face again and coming back plenty of ideas and possibilities. I spoke to a couple of them earlier in the week they are fully mobilized and they're going to focus on converting, these ideas these opportunities into solutions for our customers of course but also critically into more growth and more business for Solvay. So watch this space. Wrapping up Materials, segment EBITDA increased 43% compared to the third quarter last year, reflecting both price and volume growth in Specialty Polymers and in Composite Materials. And that's what led to a record 34.6% EBITDA margin in the third quarter up almost two percentage points in the quarter thanks to improved volume and mix. Moving to Chemicals on slide number 7, third quarter sales rose 34% as we were, again able to manage inflationary costs with price increases. Volumes declined 5% overall in the segment, mainly because of reduced demand at Coatis and some production issues which I'll detail further as I go into each business. Soda Ash & Derivatives sales increased 55%, thanks to the continued demand strength on tight supply and with price increases that offset the significant rise in energy costs. End markets for our products remained solid, in Soda Ash and in Bicarbonate. Volume was down very slightly, as our growth was constrained in the quarter, mainly by industrial outages at our Natural Soda Ash facility in the U.S. The war in Ukraine and resulting embargo in solid fuels like anthracite and coal which are used for energy generation had an impact. And that wasn't a significant impact there was also an effect on our industrial production efficiency and impacted volumes as well obviously. Peroxides sales were up 29% driven by pricing. Volume was down slightly, as strong demand in electronics and graphic paper markets were insufficient to fully compensate for the reduced demand for HPPO from our mega plants. For those of you who attended our webinar, on our Peroxides business about a month ago, this quarter, you'll recall that we provided details about that business and we demonstrated a proven track record of strong, resilient, cash generation and very high cash conversion. We also detailed our well-established strength against competitors in terms of costs, scale, process, technology leadership. And of course, we laid out our focus on the most attractive market segments in Peroxides as we look to the future. The Coatis business is facing the normalization we've been anticipating with sales down this quarter by 1% on an organic basis, coming from decreased volumes against a relatively strong third quarter last year. Now, although pricing remains slightly positive, as I said volumes were down, predominantly in Latin America, but also the business in Europe is also currently at low-levels. In Silica, sales grew 34%, pricing actions across the tire and in the industrial markets that we serve were able to more than offset the slight volume reduction. Looking at the Chemicals segment overall, EBITDA was up 22%, thanks to higher prices across all businesses. The Chemicals segment delivered an EBITDA margin of 25.2%, which is down 2.1% against Q3 last year. But if we exclude the impacts of Coatis and RusVinyl, I know this to be cyclical in a way then the segment EBITDA margin actually stable with the third quarter last year despite the very significant increase in energy-related costs. Coatis and RusVinyl continue to normalize to mid-cycle levels versus the high cycles we've had the benefit of enjoying the last couple of years and that reflects the competitive pressure ramping up combining with demand softening in those two businesses respectively. Turning to the Solutions segment on slide number eight, you will see that sales in that segment in Q3 were up 20%, driven by price increases whereas volumes were modestly lower. Strong demand in Agro, Electronics, Mining were the biggest growth drivers in the segment. In Novecare, sales increased 20% year-on-year mainly due to pricing as volumes were slightly down overall in the quarter. Growth in Agro was again driven by demand for green solvents and crop protection applications. Demand was pretty resilient in Home and Personal Care whereas volumes in Coatings were slightly down as it is associates as you will appreciate to the construction market that is slowing down, particularly in North America. Special Chem sales increased 23% thanks to strength in semiconductors and this was partially offset by weakness in the Rare Earth Specialties business which goes into automotive catalysts and we see softer demand there. Technology Solutions sales increased 16% organically due to sustained demand in mining particularly copper mining as the team was awarded new business thanks to the new mine that started in Latin America. Aroma Performance sales were up 13% in the quarter. Now although demand was strong enough to allow for price increases in the Food & Beverage sectors as well as Flavors & Fragrances, volumes declined in the quarter as some products turned along on the added capacities and on the back of exports from China-based peers. Nevertheless, pricing more than offset cost inflation. Turning to Oil & Gas & Solutions, sales grew 26% continuing the strong momentum we've seen in the first half of this year. The strong sales performance was driven by price and volume increases with overall demand for oil and gas and chemicals being supported by high levels of oil prices. Third quarter EBITDA in the segment rose 21% extending further the trend of the first half of the year. EBITDA margin in the segment was 0.8 percentage points to 19.1%. When we compare the EBITDA margin for that segment with the 17.8% levels that we saw in 2019 to 2021, it really shows the impact of the transformation -- the impact of the value over volumes pricing strategy as we go to market and we really meet our customers' needs. And frankly it reflects our team's unrelenting focus on meeting across our customers' needs for higher value products as well as the benefits of the structural cost reductions that have been sustained in each of those businesses. Turning to Corporate & Business Services activities, EBITDA was a negative €19 million in the third quarter, much lower than the €15 million negative of last year. And actually quite a bit lower obviously than the €84 million negative result in the second quarter of this year. There are two main drivers to that improvement. One our energy business generated double-digit profit this quarter which is great to see after recent quarters of modest losses. Now, we made tremendous efforts to stabilize that business and this is showing through in terms of results. But I will say that it's important to stay cautious because it -- just look around those energy markets especially in Europe remain challenging and certainly remain volatile. But it's great to see that improvement. The second reason that our results in Corporate & Business Services improved it's frankly that we have now passed the peak -- the point of peak investments in cybersecurity and digital transformation and our spending in the third quarter is now back to more normal levels. Now, on slides nine and 10, you can see the details on the EBITDA impact which I've said previously even -- in fact 40% year-on-year. The strong pricing in the quarter amounted to €836 million. At the EBITDA level, it is more than offsetting the €485 million increase in variable costs. And in fact you can see the net impact of €351 million on both sides. Along obviously with some help from volume and mix and that more than compensated for the increase in fixed costs that result both from inflation that we're all going through but also the investments we're making. Now, before turning to cash flow and since Ilham already highlighted the strength of our balance sheet, I would like to bring your attention to an increase recorded within environmental provisions. Thanks to the recent completion of technical studies of analysis of remedial steps for certain costs over the next 20 years and intended to meet our legal obligations related to the past use of fluorosurfactants in our West Deptford, New Jersey facility, we made a provision of €93 million in terms of anticipated remediation costs. Now, I will turn to cash on slide 12. Free cash flow reached €452 million in Q3. The strong EBITDA growth nearly offset the higher working capital which increased due to price and cost inflation and to higher value inventories. Indeed, it's worth noting that working capital increased by €547 million compared to the end of September 2021, that's around €0.5 billion. But -- and here's the important piece. The strong focus the discipline that's helped us to deliver the cash flow comes from the fact that we're managing working capital very, very tightly. Our working capital to sales now stands at 12.4% stronger than the 14.5% that we reported at the end of Q3 2021. And actually to remind you it compares with 17% as being the industry benchmark. The 12.4% versus 17% industry that helps to generate the cash. But also as Ilham highlighted, we are making strategic investments this year to support future growth and so our CapEx increased to €233 million for the quarter. And finally and very importantly, free cash flow conversion stood at 36.8%. Now, given the high level of free cash flow and in line with the dividend policy of the company, the Board of Directors has validated the decision to pay an interim gross dividend of €1.54 per share. For those who are not familiar with Solvay, the dividend policy states that the interim dividend payable in January will represent 40% of the total dividend paid in the previous year. Now, this will leave us the flexibility to fix the final dividend in early 2023 taking into account the full year performance in 2022, but also the investment needs of the company as well as, of course, the prospects for 2023. And with that, I'll hand the floor back to Ilham. Ilham?
Ilham Kadri: Thank you very much, Karim. As you know, the excellent results that Karim just detailed led us to pre-announce on October 24 and raise our full year 2022 EBITDA guidance, so around 28% organic growth relative to the full year 2021, which equates to around €3.2 billion using current ForEx rates. This compares with our previous guidance of 14% to 18% organic growth issued in July. To give you some additional color on the updated guidance we considered the strong performance year-to-date as well as our current view of the fourth quarter. Starting with costs, we estimate the increase in our variable costs in the range of 35% to 40% for the full year 2022, which is roughly in line with what we saw in quarter three. Turning to demand. As we look at our fourth quarter order books, we see signs of demand moderation across most businesses. Now in Materials, underlying demand remains solid in key markets but some customers in Europe particularly, have indicated that they will be managing their inventories more closely in the coming months in anticipation of a potential downturn. In chemicals, demand for soda ash remained strong. While in Silica, we are preparing to adapt production in some sites in response to a softening demand environment. In Solutions, the agro market remains healthy, though we see softening in areas such as Coatis and consumer-facing markets. None of these indicators are alarming to us and in many cases demand levels seem to be only modestly below normal seasonal patterns as we head toward the end of the year. So today, I'm also pleased to share that due to our improved performance, we're increasing our full year 2022 free cash flow guidance to deliver around €1 billion. This strong performance will be delivered whilst also increasing our CapEx, which we now expect to reach around €1 billion by year-end as we accelerate our growth plans. Our cash flow will also be delivered despite a significant increase in working capital, because we will stay single-mindedly disciplined in our focus on cash. Looking ahead into 2023, we are cautious about the environment yet confident in our ability to navigate challenging conditions. Although some of the weakness we expect in quarter four may well worsen into next year we are equipped and we are ready to respond to such challenges effectively. Notwithstanding, the possibility that there could be some easing in variable costs, we are working with our commercial teams to ensure that we meet our customers' expectations and needs and thus we preserve our leading margins wherever possible. Most importantly, remember what I just said earlier that today we are better and stronger company and we have demonstrated this repeatedly over the last 3.5 years. And even if markets and macroeconomic conditions worsen, you can expect us to do better than peers, because we have structurally improved on so many measures, not the least with much lower cyclicality than in the past. Thank you for listening. And now time, Karim and I will take your questions. Thank you.
Jodi Allen: Thank you, Ilham. We will now proceed to the Q&A portion. And I will kindly ask that you try to limit yourself to one question per person if possible so that everyone has an opportunity to participate. Moderator, please go ahead.
Operator: Thank you. Ladies and gentlemen, we will now begin our Q&A session. [Operator Instructions] The first question comes from Matthew Yates from Bank of America. Sir, please go ahead.
Matthew Yates: Hi. Good afternoon, everyone. Karim, perhaps a question for you just on this incremental provision you took. If I remember correctly, in 2019, you estimated the cost would be about €3 million. Now, you're saying €93 million, so that's obviously a very significant change. Can you just elaborate a little bit more what's happened in the interim? Does this include legal fees as well as sort of physical restoration and whether there's any other sites beyond New Jersey that we need to consider?
Karim Hajjar: Thanks Matthew. Good afternoon. I honestly don't recall anything to do with 2019. What we have been doing every year is disclosing very clearly the contingent liabilities and we couldn't make any provisions notwithstanding our desire to do so, because we hadn't -- we didn't have a basis for reasonable estimates. Now what's different and why do we make a provision now? The answer is very straightforward and that we've now undertaken independent detailed technical studies aimed at quantifying precisely, let's say with reasonable confidence the future to cost of remediation over the next 20 years. And that is an estimate and now that we have it, we didn't hesitate to make that provision. It's just around €100 million and not $93 million. So this really reflects let's say, the application of a prudent policy. And in 20 years, what I will say maybe as well as that €93 million, we're going to do our best to accelerate and front load the remediation works. But it will go with 20 years and it certainly, won't have a material impact on our cash generation.
Matthew Yates: Okay. And then do you mind if I…
Karim Hajjar: Sorry, go ahead Ilham.
Ilham Kadri: Matt, you had another question?
Matthew Yates: Yes.
Ilham Kadri: Go ahead, Matthew.
Matthew Yates: Yes, if that's okay. Just on the Materials business, if I look at Q3, you've made about €150 million more in EBITDA versus the same quarter in 2019, which is a phenomenal achievement. I'd just like to understand that a little bit better. You referenced a number of €450 million of structural cost savings at the group level. That's on an annualized basis. Can you break that down? How much of that specifically relates to the Materials division on the cost side? Thank you.
Ilham Kadri: Yes. Well, listen, on the -- indeed you've seen it very well Matthew and I'm really glad to see Materials and the SpecialtyCo, part of the SpecialtyCo really getting more pricing and more volume growth consistently. Where we see it is in the automotive, for example, market driven by electrification and continued penetration of our Specialty Polymers. Remember, Matthew, we replace metal. We penetrate each car making it lighter. Therefore, it consume less fuel, it emits less CO2, and therefore, it enables clean mobility. So that's move not only in ICE internal combustion engine cars, but also the move to EV and hybrid. It's positive to Solvay, because we can double our revenues by car and you're going to see it consistently in the coming years. Aerospace, also had a very good quarter. August was really a good month for us, driven by higher civil aircraft rate, as I said. You see continuing recovery. Imported material composite sales was 28%, as you've seen probably in the financial report outperforming closest peers and across market segment actually, and this is really good. Although, we have been struggling in Europe in the past with supply chain and labor constraints, facing the industry we could really get -- diminished the backlog. The Agro was good, more sustainable chemistries, and obviously, other businesses. So that's what we've seen really in the Materials. On the cost, yes, I mean very glad to see €450 million and this is going to happen much faster than 2024. It reflects -- remember that we have been doing some restructuring in the company delayering since 2019. In corporate services, et cetera, and restructuring of composites, right, which was really -- brought a lot of benefit. You remember that we shut down and we closed low returns, return capital employed assets, right? And 2020 crisis, we didn't waste that crisis and it helps us already to do some very good restructuring in some of the lowest return assets, and we are very glad. I'm very positive about the speed with which we are bringing this €500 million in debt. 
Matthew Yates: Thank you both.
Operator: The next question comes from Chetan Udeshi from JPMorgan. Sir, please go ahead.
Chetan Udeshi: Yes. Hi. Thanks for letting me ask a couple of questions. I think the first question I wanted to ask was, and maybe I'm -- let's put it this way, most companies in chemicals in Europe seem to think they can hold prices even if demand weakens. And maybe it's a straight question to you Ilham and Karim both. If I look at the bridge for first three quarters, you guys have had over €700 million of positive net pricing. Now, of course, I think, you probably will also indicate the same that you'll aim to hold prices. My question is, are there any pockets within the portfolio where you think we should be more careful in terms of assessing the pricing outlook as we go into next year? I mean, if you feel -- I mean, I would be more interested in how much of this €700 million, can you actually sustain going forward? That was the first question. The second question going back to the US investment. Can you help us contextualize in terms of the capacity of that investment? Will it be closer to what you will have in France 35000 tonnes? Is it lower is it higher? Any sort of color on how much tonnes are you adding in the US?
Ilham Kadri : Okay. Yes, thank you very much Chetan for those questions. On pricing, yes, it's a legitimate question. We hear it from our investors and discuss it with customers. Remember that we've made a significant progress in the last years, right, building competencies in our commercial teams. I don't want you to think and have any doubt that -- this is not a top-down push from Brussels to the rest of the world in our commercial teams. I told you that in H2 last year, we start training the muscle called pricing and value pricing. We've seen some inflation last year and obviously, we were prepared when the crisis started this year with the Russian war. And basically, we already started at the fall last year to renegotiate our contracts and really look at our gaps, et cetera. So the net pricing you see today, Chetan, even if you exclude variable cost of use, but also fixed cost and even the hedging it remains positive. So indeed we came a long way a long way. So in general, as all -- remember that each and every one of our business has a leading position in that marketplace. This is important, right, because when you're a leader, you are also a price leader. And we have built these positions with our customers over time. When you look at the portfolio and go into more specific around half of the portfolio actually shy of half can be supply-demand related. And we have enjoyed a site supply situation in 2022. And for much portion of this portfolio, I'm talking about soda ash, I'm talking about peroxides and some others, the supply will remain tight as we look forward, right. So this is important and this is structural for the next few years. and we are a leader in these markets and we have many contracts with pricing mechanism. supporting cost of shop. And more recently as I told you second half of last year we reviewed the thousands of contracts in the company. We put energy surcharges. and sometimes even logistic surcharges like in peroxide. so we expect to keep that portion of our pricing power in this area, and obviously. it's a pricing mechanism. And there is a smaller portion that is not structural side. We would adapt price volume we call it price volume elasticity to keep our critical market share. Let's move now to the second half of our portfolio, which I would call more of a specialty pricing driven and this is where we sell -- we don't sell products. We sell a value proposition and we invoice products. And we are learning how to do it better and better, because solutions are customized, innovative solutions that are designed to meet specific customer needs including the way we are packaging shipping our stock or safety stock. So in these specialties those industries are more risk averse to change with high barrier to entry, they have longer qualification time. And as I've said before, we offer mission-critical here including lower total cost of ownership. It's not because the customer is buying at a higher dollars or euro that the total cost of ownership is not lower. Actually often it's lower. And of course, we offer security of supply which often these days come over pricing. For this part of the portfolio, we will continue pushing the value pricing. I think it's a new culture and top selling products that invoice them to protect our margin. And have -- we have recently demonstrated that. So we also know that our customers understand that sustained level of profitability gives us the currency, the confidence and the willingness to reinvest in capacity innovation and our energy transition. I'll tell you I was in the construct [ph] in Düsseldorf with the team Karim talked about this event for materials. And many customers were asking for I couldn't say it. Our investments in the US in batteries, right. Material I met recently saw the ash as customers who are telling me that the market they know it is tight until 2027. What can we do about that? And this is in our common interest. Between suppliers and customers you need to have a win-win situation. And we support our customers to also drive pricing down the value chain. So listen decent pricing and profitability creates a virtuous circle that helps everyone. There was another question? 
Karim Hajjar: PVDF, the investment Ilham. 
Ilham Kadri: So what was the question? I'm sorry. 
Karim Hajjar: Chetan, can you repeat your question perhaps? 
Chetan Udeshi: Yes I was just trying to – yes, just any color on the capacity of – especially, if you can't give a fixed number but how should we think versus your investment or capacity in France for instance?
Ilham Kadri: Okay. Yes, yes. No third question. You will understand and I think I said this before and it's not new that disclosing capacity is competitively sensitive. You may remember Chetan some weeks ago, we said that after the investments we would have up to 35 Kt obviously, but this is the total. There was a capacity before and we did those indicate for obvious reason the current capacity. And I know it's not easy probably for you to make some computation and comparison, specifically when you compare apples and oranges. Tavaux investment is different. It's brownfield. Infrastructure was there, right? Whereas this new USA project consists of almost two greenfields Chetan. So the investments cannot be compared directly. That said, we can confirm that these investments will make us the undisputed leader in North America. The industrial investments will be located in two sites. All these investments will be in their own sites and will comprise probably two plants with the critical materials we need not far from our Solvay. Investments will be in our Augusto plant and will comprise VDF and PVDF. So yes. I mean, I'm very, very pleased because this is two giant, two leaders, undisputed leaders in their own domain coming together joining force. And as you have seen probably the United States of America through the Department of Energy has granted to Solvay $178 million of grants, which is more than welcome. The joint venture will be 51% share, Solvay 49%, Orbia as a structure. And obviously, we'll consolidate the numbers. We contribute IP technology and market access to our obviously market leadership and know-how on the suspension PVDF and Orbia contributes to the security of supply of key raw materials. Back to you.
Operator: The next question comes from Wim Hoste, KBC Securities. Hoste, please go ahead.
Wim Hoste: Yes. Good afternoon, everybody. I have two questions, if I may. The first one is, can you update on the separation plan maybe the milestones that have already been achieved? What will come in the next few months or so? So that's the first question. And the second one is can you maybe elaborate on the energy cost outlook for 2023 and – not only your own but also kind of the contract book you have with third parties, et cetera? Can you maybe offer a bit of clarity on that as well? 
Ilham Kadri: Yes, absolutely. Good afternoon. I will take the spin-off and then Karim the energy. So yes. I mean we are very glad with the progress. We don't see any elements preventing us from achieving the target date which is the second half 2023. That was what I announced to you at launch and we keep that timing. It's a challenging project and we value quality versus speed. That's what I told you. A critical point for these companies is that we are – we continue building up standing up the two companies now. We – in terms of organization redesign, we have now – we are preparing the capital structures for both companies. Obviously, we enjoy now a much lower debt ratio, right in the company, as I told you. And this is a great achievement making us even stronger while we prepare for the spin-off and for the two companies. So – and that's where we stand. So really all green. We're not derailing. We will see the macros in due time, right? But – and we continue monitoring them. But definitely we are sailing full steam toward second half of next year for the launch. The energy question Karim?
Karim Hajjar: Your question on the energy cost or the improvement that I talked about on the Energy business? 
Wim Hoste: Well it's actually both. So the outlook for energy costs in 2023 versus the contracts and hedges that are in place. And then also in addition to that the third-party business? Maybe some clarity there on the contract book, et cetera.
Karim Hajjar: Okay that's very helpful clarification. Thank you. Now obviously, I don't have a crystal ball what the energy costs are going to be next year. How quote is going to be? To what extent? Will European industrial consumers be able to curtail demand? Let's see. We braced for quite a challenging time but we're as ready as we can be frankly. So rather than speculate what may, may not happen in Energy, let me tell you what we do is we anticipate. And Ilham's already mentioned some of the key elements. First thing, we did is renegotiated a number of our contracts, particularly supply demand impacted part of our portfolio and that gives us an element of a margin protection or certainly cost pass-through capacity as energy costs go up or down and that is we've got far more of that now than we did a year ago. That's important. Secondly, I don't know if you were attentive but when Ilham talked about the €700 million plus positive pricing power, let me just remind you. This is – that pricing power is a multiple of the hedging – financial hedging benefit that we had in 2022. Now we still have hedges in place for next year. They will provide a degree of protection. But frankly the best protection for us is to show the customers the capacity to pass through costs. And that's really where we stand. So when Ilham expressed the confidence in our ability to navigate these challenging times, of course it takes into account certain assumptions on energy costs and how we will respond and we've got plans in place to deliver. But let's see it's going to be challenging. We think we're ready.
Ilham Kadri: Yes. And I think the net pricing and I think I say this net of variable cost, fixed cost and hedging is positive, which is frankly extremely rare in the career, in my career, okay. And I think having said that the hedging is just helping us to gain time but we are starting now to relook at our pricing, our portfolio, the impact on our customers and the value we create with all transparency. And we look at the mirror, we share the value created more and more. So yeah I mean -- and on gas we are living with less gas. We told you that we have plan for the 32 sites in Europe some of them consume 90% of the gas we are buying in Europe. And for each plant we have mitigation plan. So very ready for the winter.
Karim Hajjar: Now on the second part of your question for the energy business, I'm going to give -- I will give you a bit more color. And I'll start by giving a reminder that the energy business that we have it concentrates expertise that's designed to meet our own needs in Solvay in terms of sourcing and energy hedging as well as CO2. And it also serves the needs of a few external industrial customers particularly in Europe. Now that expertise gives us really good market access and intel. It is not a speculative activity. That's just as a reminder. Now, the reality is we've had a few losses in the last three quarters from memory. We disclosed those last Q4 when they were quite significant. And we have been taking many, many steps to improve that business, improving controls. We've completed a review of every single third-party contract and explored way to optimize what is a very volatile and challenging market context. We're making good progress. We're not all the way there. There's more to do with some of our customers there. But frankly what you see here is an improvement. It comes from one thing and one thing alone, painstaking negotiations with customers to adapt contracts to this volatile market situation that we face. And frankly we're pleased with the improvement. I wish, I could say we can repeat every single quarter but this is where we're at. Yeah, I think we have to -- I hope that's clear for you Wim.
Wim Hoste: Yes absolutely. And thank you and congratulations with a very good result progression.
Ilham Kadri: Thank you. Thank you very much, Wim.
Operator: The next question comes from Alex Stewart, Barclays. Sir, please go ahead.
Alex Stewart: Hi, there good afternoon. I just wanted to loop back on this energy cost question, because I think most chemical companies have given some guidance about the increase next year. And Karim I appreciate you don't want to speculate on where energy prices or gas prices will be but you do have a hedge book. So you know what a portion of your energy costs going to be next year compared to what they have been this year. So perhaps on the part of it that you do have visibility, could you possibly give us some sense of the inflation like other companies do? That would be really helpful. And then the other question is on this PFAS provision because for years I think that Solvay has maintained the line that there was no wrong doing in New Jersey around your site there and there was always a feeling that you felt you hadn't done anything wrong. The fact that you're taking a €100 million fine implies that you have come to the decision there was something wrong and that there will be remediation costs, which is perfectly reasonable and not large in size. But the fact that you've taken costs and that you've accepted some responsibility also now opens you up to the potential for personal injury suits or class action suits relating to the problem that this €93 million is supposed to fix. So if we look past the pure engineering cost to fix the problem as it stands, how do you see the potential for further financial ramifications as a result of this decision you've made? I'd be really interested to hear your views on this. Thanks.
Ilham Kadri: Yeah. It's Alex, right? Do you want to take -- and I will take the…
Karim Hajjar: Yeah. And I'll try to be genuinely as helpful as I can Alex. The question is really important. So rather than just focus only on energy, let me start by looking at variable costs, raw materials, logistics. Everything we're seeing, everything we're reading points to an easing of cost pressures in 2023 compared to 2022 and that's important. The extent of it, time will tell. But certainly when we listen to some of the major shippers, et cetera, there's a debottlenecking, there's easing of the supply chains. So I think the tendency is favorable from a cost point of view. On energy it really is anyone's guess. But let me tell you what we do. We don't plan on one number we look at scenarios. We simulated our exposure in a €100, €150, €195 or €200 and €250 per megawatt hour cost base. And the outcomes are €0.5 billion different between the high and the low and these are based on TTF natgas pricing. So that's the degree of uncertainty now because our job is to manage that like we have done in the last 12 months. But can give you scenarios and outcomes with €0.5 billion plus of cost variability. Against that there is some hedging protection more importantly some cost pass-through capability that will help to protect our margins.
Ilham Kadri: Yeah. And before -- I'm going to address the PFAS. But before that just to complete what Karim said, I remind you all that when we renegotiated our contract like in soda ash for example, many, many now have energy pricing structure and clauses in the contract. So that's important to remind everybody. On the PFAS, let me a bit maybe rewind the story. Remember this is for me just -- and yet another step in our journey. Our first step when I joined the company in 2019 was that we wanted to exit the fluorosurfactants chemistry. This is not regulatory. A push it was our will to really move to non-fluorosurfactant innovation. We launched in 2019 just when -- six months after I joined the company, which led us by the way to stop using it and switch manufacturing in New Jersey department last July 2021 to fluorosurfactants-free technology after qualifying by our customers. So that was really the targets. We doubled down in innovation and frankly extremely pleased with the teams who did that. Now that we do not use fluorinated surfactants to produce our polymers anymore, we undertook another step, which is a technical study and it explains a bit Alex why the €93 million. We started the technical study and analysis enabling us to better understand and estimate the remediation cost in our New Jersey operations around the plants, which is the €93 million announced today. And this spending by the way, a remediation should take place in the next 20 years period. So the provision now when you do a technical study obviously by IFRS rules, the provision reflects the estimated future cost of remediation for specific identified activities is expected to accrue over a period of 20 years. Though as a company me leading it, we expect to accelerate such things. So that's -- and we don't expect this expenditure by the way to have any material impact on Solvay's cash generation in the future. So for me, you know, those are the principles and we are pleased. We can better anticipate the anticipated remediation related to our past use. This is nothing of wrongdoing because everything was regulatory compliant so this is just an anticipated remediation of our past use and we continue obviously to cooperate with the authorities in this topic. You talked about litigation. Whilst we continue to defend ourselves we won't speculate on how long proceedings will take. But please understand that I cannot discuss any pending litigation. But I remind you, Alex that many US cases relate to firefighting foams and Solvay never manufactured or sold them. And indeed out of the thousands of cases pending in the US only about, I think, 18 claims today named Solvay and we have already been dismissed in all but one of these cases, while others in the industry continue to defend against hundreds of even thousands of these cases. So I think we are cleaning up this slate. You know it's extremely very clear. Our facts very appreciated by the authorities. And obviously in the view of power of two, we want to get into the split as clean as clear for you as well guys because there's always recurring question there. So I think all of you should take it positive today that we have done a technical study that we have a number linked to this. And obviously I cannot comment on what we are doing beyond that. But as soon as we have more clarity we'll come back to you. 
Alex Stewart: Thank you very much.
Operator: The next question comes from Peter Clark from Societe Generale. Sir, please go ahead.
Peter Clark: Yes. Good afternoon. It's on the material margin in the third quarter. You, sort of, outlined all the components behind why it's touching 35%, and I'm assuming that Composites must be back at the 29 levels or above. But even so that Specialty Materials probably nearer 40% than 35%. Now I know 3Q is seasonally strong on top of all the other components, but I'm just wondering how we should think about that? Because clearly this is taking it to a new level. I expect you've done a lot of work to get it to a new level but how you see the margin there? And just a follow-up on the webinar I was on the webinar on the product side. And there was a little discussion on contracts and pricing but not much was disclosed. On the HPPO side of things, my understanding is there is some contract protection there more so than elsewhere in the Peroxides business. If things go a bit dicky perhaps with current or something like that? Those are the two questions. Thank you. 
Ilham Kadri: Yes. Thank you, Peter. Yes, on Materials, I think -- very pleased. I told you since 2019 and it was a bold word of crown jewel and they had to demonstrate that. I really believe on the Specialty Polymer side then we can talk about Composite. That -- we were sitting on really jewels in the company unique product. Nobody has the breadth and the broadest portfolio of unique high-performance polymers on the top of the pyramid for performance. I remind you that Solvay has disengaged and divested PVC Polyamide when I joined the company. So we are really sitting on the top of the pyramid. The customers they come to us when they need Spec 1 and Spec 2 and Spec 3. So a high temperature resistance, a high-grade resistance and a high wear resistance under the hood application for a piece of metal right replacing a piece of metal next to your motor and engine. So this is a high specialty product and solution so value pricing is key and the value proposition is more than ever strong. So Peter we started application by application I think we talk about Material one day. I think we should do probably a roadshow with you and invite you to our Bollate or our Spinetta plants in Italy to really show you -- the pieces we produce with our customers the value proposition we bring to them because as soon as you replace a piece of metal, it produces a lower total cost of ownership. So the customer may pay more for our product. But the parts with our polymers cost much less and it enables lightweighting and clean mobility, right? So I think that's what we try to do. Its value pricing, understanding the value proposition and value pricing and baked by the mega trend, which is electrification and lightweighting and really focus on that. And what happened we may not have told you that, but it was an internal reorganization. When I joined the company Materials was organized as a technology company. So we had aromatics, fluoropolymers and sub products behind this. But what we changed now since 2021 is that we are markets and sectors, markets organized internally. So we drive our businesses by market we understand automotive better. What do they need? We have key account managers for customers like Bosch and others. In healthcare it's the same. We understand hemodialysis better what do they need? The same for industrial application growth platform battery. We launched it in 2019 look where we are now. We have a regional strategy, which is being executed by region. So we are really much more educated, much more mindful about what the market needs and our customers' needs. And therefore I think we can extract better value much value and share it with our customers. On Peroxides, we have leadership position highly competitive assets around the world. We are the only one who can build probably that mega plan to meet solid demand and we will progress. In the future the HPPO plant you talked about it. Yes, we have three megaplants in joint ventures. We deal typically with long-term contracts with guaranteed margins right? That's given us visibility and stable cash flow. So that's what we talked about with Peter Browning, our President when we did our webinar. And this is good news because it helps us to really see it come in and sit on guaranteed return which give us visibility and help us to continue reinvesting. The second part of the business is mentioned but obviously as you may know hydrogen peroxide is a key chemical used in many essential industries like aseptic packaging, equipment sterilization, water treatment surface disinfection or hand disinfection. And normally those -- they don't tend to be impacted by economical cycle. So we continue to see resiliency. I'm very, very – we saw the ash peroxide is another very resilient business we have and we like it because we are the best-in-class in terms of process, innovation and simply process leading to have the best competitive assets in the world. 
Peter Clark: Got it. Thank you. I remember the trip to Italy by the way. Very impressive. Understood.
Ilham Kadri: Thank you.
Operator: Your last question comes from Geoff of UBS. Please go ahead.
Geoff Haire: Thank you for taking my questions. I just had two questions. First of all, there was a €39 million gain I think from the unwinding of energy hedges in the quarter. Do you expect something similar in the fourth quarter as well? And also just coming back to Karim, the comment on working capital. In an inflationary environment that difference between the balance sheet and the cash flow seems very large. Maybe you could outline how exactly you've managed to do that and whether it's sustainable going forward? 
Ilham Kadri: Okay. For you Karim, you got two. 
Karim Hajjar: Actually well done for reading Page 21 of our financial report. Not everybody does that, so your question on the €39 million hedging gain is really important. So let me tell you what we're talking about here. We talking about a cash flow hedge derecognition. Now in Q3, what we did is we adapted some of our hedges because we changed our sourcing of some raw – of some materials including coal because of the disruption to the energy suppliers in Europe, gas curtailments and what have you. And this was motivated by a need to secure alternative sources of energy to underpin our business continuity. Now when you do that, you can no longer meet the highly probable test, which is what IFRS requires you to do. So as a result, there's no choice now. IFRS requires you to derecognize these impacted hedges and you can't consider them to be cash flow hedges. Now it's a technical accounting consequence, and it's because the hedges simply can't be cash flow hedges. Now the key here is that it doesn't make a single bit of difference economically to Solvay. Now the hedges were designed to cover our exposures from the third quarter of this year through to the end of 2023. So what have we done? We've now recognized the full €39 million as not meeting the cash flow hedge definitions and we've taken a small – less than €10 million in the third quarter, which is a benefit the economic benefit that accrued during the quarter and we expect the remainder of that €39 million to accrue to be recognized between now and the end of next year. That's really – I hope that helps but it's to me very high quality and it's purely this accounting technical requirement.
Ilham Kadri: Question on working capital.
Karim Hajjar: On working capital, one of my favorite subjects. Let me just remind you and I think I mentioned it when I did my opening remarks. Benchmarks would point to 17% as a good performance on working capital. Now you've seen us do better than that. You've seen us do between 12.5% and 15%. Now let me tell you one or two facts, and I'll start with the fact that our working capital has really grown. Now if you look at our total revenue in 2021, it increased from €11.4 billion. And if you take Q3 and annualize it you end up at 17.6% in Q3 this year. Now if you apply that benchmark of 17% you would expect our working capital to balloon by about €1 billion. Now take that and just hold on to it that €1 billion expectation and see what happened in Solvay. If you look at the evolution of our working capital you're going to see an increase from €1.4 billion to €2.2 billion. In other words, an increase of €0.8 billion. So what does it tell you? It tells you we're doing better than benchmarks. But it also tells you that we're really razor-focused on relenting and are focused on that. And it happened every week we're tracking it. And we're not looking at the big numbers we're looking at the key call it operational KPIs. I look at DSO, which means Days sales outstanding. Look at over dues, top customers, days payable outstanding, days of stock in sales. And it's part of the weekly buyer rhythm and it's driven very hard but in a very consistent disciplined manner. And those entities those businesses are not fully performing as they expect. Can I say they get quite a lot of constructive encouragement. That's culture the performance, culture the delivery that's doing it. So to your question is it sustainable? Absolutely. If it's doable we'll do it. We're proud of what's been achieved. It takes hard work. It takes unrelenting focus. The one thing that does help is we don't have to push water uphill to achieve it because the bonuses of some of our commercial people and of our business users doesn't just come from achieving profits and but comes from converting the profit into cash and that makes this job a lot a lot easier. So yes, sustainable.
Geoff Haire: Thank you.
Karim Hajjar: Does that help, Geoff? 
Geoff Haire: Yes. 
Karim Hajjar: Thank you.
Ilham Kadri: Thank you very much.
Jodi Allen: Thank you, everyone. This now concludes our formal Q&A session and actually the call apologies for the delay again but we went a little over to address as many questions as possible. And I just want to remind you that we may get an opportunity to see some of you as we'll be attending several conferences and road shows in the coming months. And we also plan to continue with our webinars because we've been receiving lots of positive feedback. So we're actively behind the scenes preparing some more and we'll let you know those dates once we're ready. And today, if you have additional questions that we didn't get to please contact any one of us on the Investor Relations team and we're happy to take additional questions. Thank you so much everyone.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for your participation. You may now disconnect.